David Riches: Okay, everyone. We'll get started. Just around 1:00. Good morning, good afternoon, everyone, depending on what state you're in. David Riches, Managing Director of GenusPlus Group, and we got Damian Wright, CFO, online as well. This morning, this afternoon, we're here to present the half year results for GenusPlus Group and look forward to going through. Obviously, if anyone's got any questions, you can either hold to the end or jump in if you require. Absolutely fantastic result. We had a really strong half at Genus, $535 million of revenue, $46.3 million of EBITDA, $24.9 million NPAT. We held up the -- we converted heap of work to the order book, and we've held up the tendered pipeline, cash of $178 million, and we've announced an interim dividend of $0.02. So if we just pause there for a moment and those that have been on the journey with us for a period of time now, obviously, the business has really changed over the last few years and it's just super exciting times and I take the hat off to all of the Genus management team, a very strong half and likewise, thank the support of the shareholders that have been with us on the journey. Some of the highlights through that half. Obviously, we won an extremely large job in our home ground with Western Power, and we managed to back on another $110 million worth of revenue to that job. The Alinta Wagerup project is a fantastic opportunity for our Energy & Engineering business, FMG decarbonization contracts. So, we're seeing some of our miners work towards the decarbonization that the rest of Australia is working towards and an outstanding effort with Genus-Acciona JV to secure the Western Renewables Link at $1.6 billion. Some of the highlights on the corporate side. We've executed a $429 million syndicated facility. We appointed a new Director on the Board, Tony. I welcome Tony to the Genus family. And our acquisitions integration continues. Obviously, we've done a number of acquisitions over the years, and we feel very comfortable on integrating them into the group and going well with the ones we did over the last year to 18 months. Snapshot of the segments. For those that are newer to the call, Genus is a one-stop shop for anything in the energy market, anything from a service item, right up to a $1.6 billion transmission line or infrastructure asset. As I said before, $535 million for the group. We just -- I honestly couldn't be prouder here today. We're seeing all 3 segments really go well. Still some room for improvement. So, I don't think everything is a perfect day, but we'll get to them as we go through the segments later, but still a very, very strong outcome. Infrastructure at $345 million for the half. Energy & Engineering, another outstanding performance at $151 million and our Services business that we're really trying to not forget about those lower-end services and stuff that will back up our larger projects. The outlook, it's a pretty important page as we had a massive conversion of work last 6 months ago, and we've been able to continue to convert that work to order book and we've actually continued to grow our tendered pipeline as well. We used to talk about some of the opportunities in the area, but it became quite a large number of opportunities that's out there for Genus, and we'll look more to that in the look ahead for the segments. But there is an absolute wide range of opportunities. We get to see some of our work sometimes very early at Genus as a part of an asset that's getting built, or a farm that's getting built or a connection that's going to happen to the grid. So, there's a range of opportunities, but these are the most important metrics, which is order book and tendered pipeline. We're not forgetting our recurring works or our more service type works, that continues to grow as well. But yes, I think the main standout here is a tendered pipeline of another $2.6 billion is a fantastic result. We are seeing significant opportunities through the group in the transition to the energy -- into the new energy world. And we're certainly not taking our eyes off M&A opportunities, and we'll continue to bring them to market as they arise. I'll let everyone read the charts and obviously, through their own presentations. But just pausing for a minute to see that continuous growth throughout the business and taking a step back to realize we have to invest in the business many years ago to build the systems to be able to do what we're doing today. We did that. We've obviously paused and reflected to our system many times over the years and made sure it's strong enough. And I think we're seeing the results of that as we continue to grow without hiccup. So it's a true testament to the executive team at Genus to build those systems and keep launching into the future. Financial overview. So record revenue, obviously, for the half, up 60% on the PCP. Record EBITDA at $46.3 million, record statutory NPAT at $24.9 million. Our normalizations in there is acquisition and legal costs -- acquisition, legal and advisory costs as per normal as we continue to look for M&A opportunities. We have to close out some old claims in one of our acquisitions from years gone by, EC&M. That's in there. Our acquisition amortization is $1.1 million and a strong EPS position. The financial position, strong cash at $178 million. Net cash $127 million, with $22 million in restricted term deposits. Our franking credits are very healthy, but the standout is really this new facility we've put in place, giving us $278 million of headroom at December for growth. Obviously, there is a range of opportunities, and we've had several meetings altogether where we've lifted our pre-contracts team some time back now to try and really leverage into one, the energy and engineering space and the transmission space. But to have that type of headroom, obviously, is very comfortable for us to grow. And a fully franked dividend -- interim dividend of $0.02 will be paid. Cash flow. So, we generated $91 million in cash -- operating cash flows. Conversion rate was 199%. Our CapEx, we spent $34 million to date. We are managing our CapEx as responsibility and strictly as we can. But with the influx of these larger projects and wanting to own the key assets on that project, we need to invest for those projects. Some of our key equipment, you wouldn't be able to hire anyway. So, we do need to buy it. We are managing that CapEx and want to manage that through to a $40 million, $45 million for the year, just depending on how the second half goes. We'll continue to manage CapEx. We understand as a business. But at the same time, we do need to feed these larger projects or we won't be there at the start line. I'll drop into the segments now and have a bit of a look at the -- have a look at the future and maybe talk to some of these segments. So, our Infrastructure segment, which for those that are new, obviously, builds a range of activities from very small power lines to very big ones, substations and anything in that and now moving into the rail sector to see if we can push on our skill sets in the rail sector. Revenue of $345 million. The EBIT followed down at 54% growth. That's a 5.2% EBIT. That's similar to where we were in the last half. We do believe that sort of -- obviously, with the larger projects coming in, we're just being responsible on how we recognize the revenue on those projects. We think it's there, and we've got some margin improvement to do. But I also want to be responsible and make sure we look at these large projects. Obviously, we've told everyone we want to get 5% EBIT out of those projects or better. We will continue to strive for that. We have a range of other work in infrastructure that we'll work closer to our sort of 8%. We try and aim at Genus between 4% and 8% EBIT. But I think you will see -- certainly, I'm not expecting that margin to come down. It's sort of flattened out there, and we've got everyone's expectations in line with a far bigger business. So, I think it's a fantastic result and we are continuing to look at these bigger projects as they come in alongside the smaller, more typical projects we've done over the last 10 to 20 years. HumeLink is fully underway now. The last activity to start is stringing, but all other activities are up and running. We are building HumeLink. It is a live project. We're spending time. We've got a management team on site. We're going well. Acciona is our JV partner. There's a lot of effort going into HumeLink. So far, it's a great job. We're getting on with it. We're doing it when we're going to build it. So, we have no issues at this point in time with HumeLink or our JV relationship or any of those things. So, we'll continue to strive to the outcome. And at this stage, there's 18 months -- 18, 20 months to go. So, we'll just continue to build that. TasNetworks ECI, which we spoke about over the last 12 months, that will wrap up over this next half and we look towards the start date for TasNetworks. This is a massive opportunity for Genus Infrastructure. It's a fantastic client down there at TasNetworks in Tasmania. It's a job we've built plenty of times before at Genus. It's right in our sweet spot. So, we're really looking forward to getting that job started in this half we're hoping, and we will -- and start to see the revenue come through from TasNetworks over the -- into next year over the coming 3 or 4 years. Hunter-Central Coast, another major project. Early works was done. There were some early works done at the end of last year, but construction started now and we're underway at Hunter-Central Coast. So, we'll see that revenue come through over the next 2 years. Western Power Clean Energy, that was already a massive project for us and we backed in another $110 million. So, that's -- it's become a very significant opportunity in our home patch for Western Power. And MGC rail integration continues to go well with infrastructure. And the plan, obviously, for those that can picture what we build every day of the week, we build power lines down the road. We build substations. We build pit and pipe electrical, overhead electrical. That all sits in the range of the utility power work. It's no different in the rail. So, there's a raft of opportunities in substations and lines and overhead lines and service and maintenance in rail. And that's really where we want to see is how we can use our skill sets from all of the things we've learned over the years and pivot that into the rail work. So, we actually -- it's a perfect acquisition. We've been working with the founders of MGC or I have. And yes, it's going really well, and we're very like-minded. So, I think stay tuned on that. That will be a good growth area over the next couple of years for infrastructure. But if we take a step back, maybe change page. But if we look at -- we all sit here with our infrastructure business on the market drivers and we look at the rewiring the nation, and it is a fantastic opportunity. But there's just so many other opportunities in this area as well. If we look at the connections, the end-of-life assets, just maintenance work on transmission. And we're really starting to see that over East revenue from transmission start to come through now with Humelink starting to put some meaningful revenue into the last 6 months and some smaller transmission opportunities that we've started over that 6 months as well. So, we're seeing that smaller business as usual type work and that Humelink work. But we're not seeing 20 of those projects yet. So, there's still a long way to go from a revenue point of view on our over East expansion in transmission. And those opportunities are going to come from not just rewiring the nation. Every asset needs to be connected to the grid. And whilst you're connecting to the grid, there may be changes to the grid. There may be upgrades to the grid and there may be end-of-life assets that need to be fixed on the grid as well. And if we take a step back from that, we can't forget about our mining and private customers that still need us to do their connections. Taking a further step back from that, our distribution arm. We are still very, very strong in distribution, and that was the forefront of the national expansion for Genus 5 or 10 years ago is we expanded in the distribution market, and we continue to find new opportunities in the distribution market similar to the transmission market, which is that's really in the streets and working with the utilities, keeping the lights on. And then if we look at that a bit more holistically, again, we really -- we know we certainly have a huge substation presence in Western Australia. We've always got 4 or 5 substations on the go or starting in Western Australia at times. But we really haven't seen any meaningful revenue out of the substation market in the East as well. So some really -- I suppose you've got some old stuff in infrastructure that continues to grow. We've got some new stuff that's starting to grow now, and we've got to make sure we do a good job at that. And there's still some room for new business where we can take a skill set from the West or even likewise now, we might be able to take a skill set from the East and put it back in the West. So, I just think there's a long way to go with infrastructure, and they're already looking at new areas such as rail as well on top of that. so, that's my update on the market drivers for Infrastructure. Energy & Engineering. So, this has been a fantastic business for us or segment for us. It all started with a $1.7 million acquisition of ECM. That's where we started, and this is where we are today. And you can see the bottom point, the Electrical and Instrumentation work that came through from ECM. We haven't forgotten about that. We're actually starting to grow that. But revenue of $151 million, EBITDA of $10.9 million, a great result out of Energy & Engineering. And over the last couple of years, we've really been able to balance this business out with the acquisition of CommTel and Partum. It's now adding in a lot of engineering revenue alongside our construction revenue. So it's a really well-balanced business. Meanwhile, the Partum and CommTel skill sets allow Genus anywhere in Genus, but mainly in Energy & Engineering to fully life cycle their project and own the project and be that Tier 1, the principal contractor on site, which was what our aim always was. We saw some conversions of projects in that 6 months with Wagerup and Atmos. So, they're continuing to win work. A few years -- well, probably 18 months to 2 years ago, we lifted the pre-contracts team, and we probably always had 1 or 2 projects in the middle and starting, one finishing. We're trying to lift that up to sort of 5 projects going at once, and we're continuing to work to that strategy. But the Electrical and Instrumentation part of the business, there's a lot of oomph in the market out there around such assets as data centers, et cetera, which is a very -- the skill set of our E&I business can do that, and we're looking at opportunities around those types of opportunities as well as, say, your solar and your BESS and your substations that we build in and around those assets. Another big driver, we really want to see a wind opportunity coming here. This Energy & engineering, this slide gives you a look at some of the percentages of green energy in the States. But we really want to add in that whole piece, like if this segment is going to become a full power asset business that can build any asset that's converting something to power. And we've put some notes here on the side of this page, which really tells the story on how we've become that principal contractor through using the market growth, having strong partnerships and proven execution. Our Services segment, probably more of our newer segment and started with just comms. For those that are a bit newer to the call, we know we bought -- we had a very small comms piece. And we bought another comms piece, which was a business out of admin called Tandem, which we rebuilt and looked at opportunities around that comms piece. From there, we moved our asset -- management part of the business into this segment and added on vegetation over the last 12 months. So, an absolute this business. It was a loss-making segment for us when we first started, if you take yourself back 2 or 3 years, so sooutstanding effort. And it's got a bit of a more modest growth to this business, but it's a services business. It's long-term contracts. It's really, really -- it's a very, very strong contracting play, and that's what we want this business to be. We want all the long-term, 10-year type contracts. If we can get them, certainly 3s and 5-year contracts in this part of the business. And we've been working at building a -- like we did with Energy & Engineering a few years ago, building the foundations of getting this business to a size where its foundations are strong. So, it's ready for either to win that large multi-year contract because that's what they've chosen to do, and that's the opportunity or likewise, M&A. Both of them, you need a strong foundation and that's what we've been doing. And true credit to that is we've seen a lot of growth through the PFA business over the years and we've been able to maintain healthy margins. Our Telstra and NBN relationships continue to be strong and now stepping into some multi-year vegetation management contracts. Where to next? For services. So, we could put up the charts of the total spend of comms and the total spend of asset management and vegetation. But realistically, these are our 3 service areas at the moment. And on the right-hand side of the page is why aren't we looking at some of these areas? We need to take our skill sets or add on new skill sets and take them into these areas on the right-hand side of the page, which are very close to what we're already doing or we're already doing, e.g., mining, for example. We're already doing a lot of work for mining. Why can't we leverage that service piece into there? Everyone knows the size of the pie with the defense work. So, we'll continue to monitor opportunities there. Facility management, once -- that's where the really long-term contracts come. Water. Water is how can we not take -- this is our -- we do a range of asset management for our power utilities. We need to move that into those water utilities and social infrastructure as well, which is like roads and public transport and things like that. Again, how do we take our asset management business and grow it in these areas, or vegetation management? And obviously, telecommunications is a massive piece. I certainly don't believe telecommunications is finished yet. I was away on the long weekend in -- with my family on Australia Day and you go to a small town and you can't even download a very simple page off the Internet. So, obviously, we've still got a long way to go, in my opinion, with remote telecommunications or towns. And that's where we want to be as a partner to NBN and Telstra to roll that work out. Other metrics and certainly some very, very important stuff on this page. It may be towards the back of the presentation. But our injury statistics are at 3.5. We have an aim to be under 3, and we're going to keep striving that. Without safety, we are nothing, make that clear. I can speak for half an hour prior to this on all the good things and all the opportunities in front of us, but getting our people home at night safe or getting them home the same as condition they came to work is by far the most important for us and also making those people feel comfortable that the safe system of work does has experience. We've got 20 years of experience -- not quite 20 years in powerlines plus and through to Genus of actual real-life experience that goes into our safety systems. And we're not going to stop investing on that, so that it's ready for the growth as we go. Sustainability and ESG, we need to follow the Corps Act and the requirements around that moving forward, and we've got the right consultants and we've done a lot of homework on that. So, we're well in front of the curve and ready for that. Our apprentices and trainees, we are working hard here. We have seen some growth in it, but not as much as we want. This is a key focus area. We need to train more people. We did do a massive overseas drive over the last couple of years. That has worked very well, and we welcome all those people into our family. But we also need to continue striving to train local people and local young people. So, we want to continue to put effort into this. And hopefully, we see the outcome of more effort over the next couple of years. And talking back to those systems and the hard work that got put in over the last 10 years to see the people now nearly 2,000 people and us handling it and not under pressure is because we've done the work in the past. So, that sort of wraps it up, everybody. I'm happy to take some questions from there if there's any online.
Unknown Analyst: I'll jump in with a couple of questions, Dave. Congrats on a good result. Just firstly, if we look at the tender pipeline, it's good to see that it's grown versus the FY '25 balance. Just keen to get some color on the mix there. Like how is the pipeline for BESS work, transmission work? Like are you seeing a concentration of the tender pipeline towards some of the larger-scale projects? And just also keen to get your views on other markets like mining infrastructure as well.
David Riches: Yes, no, we're not seeing it. It moves around a little bit from time to time. But no, it's -- we wouldn't see too many. The panels in the services business probably sit more either in that recurring work or are new, so to speak. So, lesser in the services space and when it comes to tender. But certainly, I think on a size, the infrastructures 2/3, let's say and 1/3 to Energy & Engineering. We would normally see that be similar to that, and we can lift our pre-contract teams and BD teams if we need to, to push that a bit harder if we wanted to or likewise, we can sort of hang back a little bit if we're getting very, very busy. So, I haven't seen that materially change in a couple of years now, like the amount of in-rush is still there and still very live. We are trying to partner with some key people in Energy & engineering. It's sort of -- because you do a fair bit of early work in that, you're going to go and look at the big BESS project. You'll do some ECI work. So, we are working with those key partners to see how long their journey is as well. And that might give us some more color to that question, but we are certainly asking those questions. But it's still very, very busy. in my opinion. And I'm not sure how to put that in a spreadsheet, but it's very, very busy.
Unknown Analyst: Great. That's great color. And maybe just looking at the guidance, 35% EBITDA growth. I know North West Transmission Development has a fair chunk of ECI in FY '26. But if we kind of strip that out, is there any assumptions around the major construction work that kind of flows into FY '26? Or is that more commencing in FY '27 and contributing to that outlook?
David Riches: It's probably on a more -- no, it doesn't need to be here, essentially, is the answer to that question. It's more '27, but they are -- these projects are getting a fair bit keener today to get started from probably where we were 2 years ago when there's a lot of environmental constraints and things that need to be signed off. We're seeing that free up a bit, to be honest. So, I think it has a chance to potentially start. So, I won't write it out for now, but I don't essentially need it either to look at that budget.
Unknown Analyst: Understood. And just maybe lastly, if we look at the Services segment, you've now delivered 2 reporting periods, consecutive reporting periods with EBITDA margins in the teens. How should we think about the EBITDA margin going forward, maybe in the short to medium term? Should we be thinking there's a floor in the teens or potentially even grow from here?
David Riches: I think we are achieving fantastic percentage results. So, I'd probably -- if I was working on your side and things, I'd hold where you are at the moment. And I think that we've enjoyed that margin conversion, which we've -- for those that have been around a couple of seasons, you know what I'm talking about. We've really converted that. And it came out stronger than I -- like I could see that it could do that because I knew some parts of the business we are doing it early on, but it's done it probably more holistically than I pictured. So, a very strong result. The idea now will be to try and hold and grow that revenue line now. A bit the same as what we've done with the other 2 businesses in the years gone by with the other 2 segments. Any other questions or queries?
Unknown Analyst: I might jump back on with another question if there are none. Maybe just on the M&A pipeline, how is that looking? I know you've been a bit quiet for the last 6 months versus FY '25. The cash balance is up. Are you thinking more aggressively on acquisitions? Are there any advanced opportunities that you're entertaining?
David Riches: We're certainly very keen. M&A and organic growth has worked for us now for 3 or 4 years. We've had both, and we've been able to handle both. And I think we're in -- I think there is absolutely -- from a bench strength point of view, we are well and truly capable of doing some M&A activity. We probably have lifted that size a little bit throughout this year, where you've seen us typically do some smaller acquisitions. And not to say they won't still flow from time to time. There might be a geographical footprint we want to own or someone in the market a bit smaller is retiring, et cetera, right? So, let's always keep that door open for a smaller piece of the pie, which makes sense for Genus. But we've lifted that size. So, we spent a lot of time last year just having a look at what opportunities would -- how big could we go, how small should we go? Should we go left? Should we go right? And where are our key focus areas around where we want to do M&A? So, we have a plan on that, and we've got to execute that plan. So, we're going to be as responsible, disciplined as we can here, right? But we do -- when Genus says it wants to do something, it normally does. That's the business we are. So, I suspect stay tuned, and we'll continue to update the market. But we certainly are keen to see if we can bolt some M&A in at the right time. Any other questions? We wrapped it up a bit early. Maybe a little bit too quick, everyone. Sorry. You all get a bit of time back in your day. Thank you very much, everyone, for joining. We look forward to seeing some of you over the next 6 months. And if not, we'll see you at the next presentation.
Damian Wright: Thanks, everyone.